Operator: Good morning, everyone. My name is Antonio Carlos Vélez Braga, Cemig's Investor Relations Officer. We'll now start our video webcast with Cemig's Results relative to the Third Quarter 2015 with the presence of Dr. Fabiano Maia Pereira, Chief Officer for Finance and IR; Dr. Luiz Fernando Rolla, Institutional Relations and Communications Officer; and Dr. Leonardo George de Magalhaes, Controller. You may follow this broadcast by phones, 5511-2188-0155 or 5511-2188-0188 and also on our website ri.cemig.com.br. To start off our presentation, we hand over the floor to our Institutional Relations and Communications Officer, Dr. Luiz Fernando Rolla.
Dr. Luiz Fernando Rolla: Good afternoon to all of you. On behalf of Mauro Borges, our CEO, would like to thank you for attending this teleconference to disclose our results relative to the third quarter 2015. Unfortunately, due to these agenda, our CEO cannot be together with us at this moment and we together with my colleagues, Dr. Vélez and the others will conduct our presentation. We’ve tried to fit into the slides all the information that within of interest to the investors and analysts. We proceed to the presentation that should take some 30 minutes and then we will open up for Q&A, upon which we will be -- we may available to you for clarifying any doubts you might have. Our presentation as usual is comprises an initial phase, then we talk about the highlights of our quarter and then, specifically, talking about the financial results 2015. In our first slide we have the most relevant materials, net revenue, EBITDA, net profit. You could see that we had very good performance as compared to third semester or third quarter 2014. In 2014 we had some very relevant impacts mainly arising from the negative equity from Santo Antônio, equity accounting that, even so in 2015, we have very good performance in line with what we had programmed for the results of this year. We have some other highlights especially in generation, our actions, our suites regarding Jaguara and São Simão plants. We filed the suite at the Federal Supreme Court of Brazil and protecting our rights in face of the decision taken by the STJ. That there was auction scheduled for November 25. We will talk about that a little more. Distribution also the contract for renewal of distributors’ concessions was approved by Aneel and forwarded to the Ministry and we will be soon signing the new contractors. It just a matter of some rights bureaucratic proceeding that we still wait for and then we will sign this contract by the end of the year. It’s very relevant because the growth of concessions for February 2016 was impacting our -- that a little bit. Also we have recognition from the market. We will highlight that a little further on. Beginning by generation, we have already applied for provisional remedy regarding the Jaguara Hydroelectric Plant at the Supreme Court. We had this dispatch from the Chief Justice, Mr. Dias Toffoli and there is a call for settlement, extra-traditional settlement and an invitation to hold the conciliation hearing and in our view this is a good way to go. As for auctions of plants, we are focused on the auction involving those plants we already operate. It will take place November 25. We are ready to make an offer within the expectations of the Federal Government as to benefit. Aneel, about distribution, it has recommended to the Mining and Energy Ministry the extension of concessions that a few issue having been overcome, the new -- such a contract have conditional efficiency levels from the distribution to the distributors. We are very comfortable about the fact that we should meet the quality and sustainability requirements. Yes, we have stimulated various times over the years of our capacity to deliver and to meet the Aneel requirements. And even in the more conservative scenarios we feel that we are in a full position to deliver into the first test placed by Aneel by 2020, which should easily pass on. As our concession then we have this renewal by the end of this year and from then on we will follow, make the necessary investments to meet the indicators and requirements as per quality and financial economic requirements so that we can be approved for extension. We anticipate all problems to meet such requirements. Another very important recognition to us, once again, we were recognized by the market as per our financial statements and this time we’ve shown especially brightly among the listed companies we get the 2015 Transparency Trophy. Dr. Leonardo is the Manager -- is the Controller and he is man behind this, and please tell us what this means or describe me.
Dr. Leonardo George de Magalhaes: Good morning to all of you. It’s a social pride to Cemig D even given the very uncertain scenario before us. We are [indiscernible] to expand our disclosure about the data of the company and we are really reflecting very neatly what our operations has been reducing uncertainty among investment -- investors level. And this recognition is important because it involves the Gardênia and other institutions, and this effort of our company to be ever more transparent and they select as the top in Brazil that was very good to all of us.
Dr. Luiz Fernando Rolla: Yes. Excellent. I am pleased and very congratulations to your teams. All of them who have dedicate themselves so strongly to obtain these results. Also Fabiano tell us about the short listed of our company -- short listing of our company for the IASC Consumer Satisfaction Index 2015, also consumer recognition in terms of quality provided by Cemig D to consumers?
Dr. Fabiano Maia Pereira: Precisely we have got this prize, we are, actually, we were short listed for the prize and this other prize was for consumer satisfaction and very well, and if you want to convey exactly how this works? Well, This prize is done through a website and consumer protection and it’s records surveys conducted consumers, that have somehow maybe use of that site to solve any pending issues whichever company in various segments and we were elected within the power sector as having the best performance before these consumers. This is the second time Cemig D has taken part of it and recognition time -- is very timely because we are signing our distribution contracts, this recognition in addition to Aneel. Yes, these spontaneous selection by the consumer still decide that has pretty much acknowledge as champion of consumer rights.
Dr. Luiz Fernando Rolla: Having done this first stage, we will go now for some figures relative to the third quarter following the normal sequence. First, with the consolidated net revenue growing up 26% with a huge impact constituted by tariff price with a very substantial adjustment this year -- not only the year early adjustment, but also extraordinary type adjustments and tariff flags. We had as you seen significant reductions in concession but even so 26% growth in consolidated net revenue especially in the distributors were responsible for this growth. These adjustments were authorized in the sense of making up for the revenues of the distributor in phase of the several expenses incurred with regard to energy costs and the risk -- hydrological risk that the company is now take as part of the expense. This, of course, brought some relief to the distributors, because they were using their own cash to finance such expenses and now we can divert this cash to our investments. Power consumption over the period third quarter 2015 as compared to the same period 2014, our distributor dropped significantly 3.2%, followed by mostly the industrial, not so much from the residential side of it 2.7%, because the category of consumer that suffered most impact from the increases, tariff increases, the first semester was very -- the performance was very good, so that contributed to the slighter lower reduction, you can see residential 1.9 in the ninth month and industrial 6.8%. The good news here in the slide is that this time the increase in tariff we haven’t seen -- we haven’t so far envisage any increasing before at this point. Yes, because the tariff is already full, it’s been applied fully on the deals, consumer deals and before or just like the history -- historical levels virtually no effect. This is a very positive and it protects our cash flow -- distributors' cash flow. We had the reductions in power consumption by the family more efficient use of energy without that implying any further default in the company. The consumers sort of adjusted to the consumption within their budget. Of course operational issues the main cause of operational expenses of 32% plus was the both energy highlighted in a very impressive way in our graph. You could see 751 million increase in expenses related to purchased for resale this regardless of the tariff flags and extraordinary readjustments. This has been compensated made up for some other like lower can explain to us, but it is very relevant to see this cost. Unfortunately, its burdens our consumers, yes, it’s, in the slide you can see that our controlled costs behave below our inflation, which reflects the efforts of the company to reduce its costs. But the non-controllable costs as per the fourth quarter last year we included CVA and this year as we have one more -- $1 billion plus was recorded as CVA in association with the tariff adjustments. Please allow me it will be good to comment on, in this climate of uncertainty in the project services, there equity liquidation, Cemig D was able to inspire and win on in junction, prototyping its revenues that would be otherwise be very highly impact. Even so the company was pretty much conservative in recording its revenues. We did include the benefits evolving from the CCE, the GSF. Figures here are the actual figures. We’ll see how it goes and how the effective liquidation will happen, even consider the effective GSF. We are very conservative in applying for our revenues given the deferral of these CCE revenues. The message is that as the market evaluates itself, we understand that there is no reason for concern write-off of anything that’s been recorded. As the scenario normalizes, we can expect even higher additional revenue because of this conservative position right now. They are excellent. We really mentioned the costs are very important point. We have some topics still to be decided upon into the upcoming month especially regarding GSF. We have some pending issues relative to the 688 provisional measure by the government. Though we have some developments arising from this in the fourth quarter, some decisions are still to be taken as for provisional measures in provisional remedies. Also provisions for loss of estimate in the semester relative to Parati, that’s a sequence of the provision we have made in the other semester. Any news about this, Fabiano, with regard to this provision, there was this relevant fact that the pitch was exercised at Parati. We are negotiating right now and searching for potential projects both for Light and for other partners that participate with us in -- how should I say at Parati. Yeah, there were relevant topic and we of course proceed to restructuring as a function of the maturity of the agreement that was made with four investors. As we said, we are ready to make a move towards these transitions in a way so as to preserve our top quality in managing Light within the private sphere. We had some provisional -- additional provision sales for San Antonio, very small amount in the third quarter as a function of the GSF. That’s the main concern of San Antonio. EBITDA grows almost 27% as compared to 2014. We are now nearing the lower limit of our guidance and we will meet our guidance this year for sure. It’s just about projection -- a projection very simply what will happen for the quarter and our assumption is that we will meet it in the fourth quarter. That profit as a function of those impacts regarding San Antonio, it grows substantially with 167 million in the third quarter considering all the impact already come into firm if we compared the accumulated figures, we still have 8% plus increase from last year. The generation system really gave the most contribution to the profits of the company. This is a continuous effort in the management of the company to maximize results, especially on the part of our financial director both dealing with our debt as per the fundamental part of our strategy, debt extension that is. So I invite you now to make your comments about the slide. What we do have for 2015, we have already wrote on all the maturing debt. What we still have to do is just a small number of coupons will proceed to pay them. 2016 most of our maturity that’s indicated in the slide relates to Cemig D. Also related to the topic you raised, Fernando, on the lack of our decision about extension of concession that brought difficulties to Cemig D that now we are in a perfect position to proceed whether to extend that debt making it much longer than it is today. As far as the cost of debt, as the interest rates in industrial have grown, this had of course an impact on the debt profile of Cemig D. And we are working towards having a perfect condition to cover all these debts. Our revenues are indexed to the IPCA in generation and distributor line. So that’s the profile of the debt. It’s higher than the related figure 4.5% which for us it’s very good. Considering the context and our leverage, it’s very good too, in view of our articles all over in corporation. As I mentioned within the short term, we are through our way with remaining debt. It’s been a thoroughly much reduced 5 million reais. It has reached 5 million reais and you can see that our profile that we are extremely positive. But in the case of the distributor, as I mentioned, that’s a special case because in some way we have financed the consumers somehow through the CVA. And those increases the volume of debt that we have occurred coupled with the fact that consumers were fearful of the concession contract that was upcoming -- then there was this adjustment in the short term. We have a lot of room for elongating this debt into the upcoming years and so as to improve substantially financial expenses of our distributor leverage. It is so high. Our EBITDA has not recovered fully. It should be expected also in our investments program. We had -- now executing 63% of our investments program of the company as to gather -- altogether. We see the volume arise for the year so far and we will meet all we have done before 2015. We reached 2,200 million reais most of the investment that have been made in transmission and we still have one quarter to be meeting all their commitments. You can see the amount is pretty much relevant. And our last slide that’s the most relevant for financial management. As you can see, we proceeded to a series of actions to protect our cash result in a very positive status 2.7 billion reais total cash available. There is accounts for great deal of GAAP. Yeah the situation we have here has given the scenario we had early in 2015 when we could see that it couldn’t be a very, very smooth year for the company. We took decisions along the year so as to protect the cash of the company. We’re still doing that and we still have a long work ahead of us. So given the tranquility to our investors and to the management of the company itself, so far as expanding cash, he’s made available to the company. The focus of our concerns here is especially with the performance of the distributor given the renewal of the concession. We still have some homework to do. In terms of the operational expenses of the distributor, we are doing it. We have taken some initiatives some for the open to the market, close to the market so as to observe the situation of the distributor to the cash flow as available to it. In our transmission, we also proceeded to a very deep adjustment given the concession contract since through 2012. And we consider some aspects through 2016. We are taking care of that. We are entering the New Year with respect to factor to preempt any possible problem that may come up in 2016. These were the slides we had to prepare and show to you about the performance and results of the third quarter. Now we open for question and answers.
Operator: [Operator Instructions] Our first question comes from Macos Severine from JP Morgan.
Macos Severine: Good morning to all of you. Two quick questions, first, I would like to know while Cemig D has faced a new situation today. The major point here involves low in leverage and more operational performance. What could we expect in terms of improvement in efficiency and operational performance? When will you return to reach these new levels, the holding, the profit sharing? It has been mentioned any further reduction could be expected at least initially and as far on leveraging, selling of assets or what are the other to use in business to achieve these reduction in leverage that I think is very important. Another doubt about your stock holding positions, what could it be required in terms of equity into the next semesters on San Antonio, Belo Monte and more recently in [indiscernible]. They have pharma. I was checking for their shares. I see that their expectations for revenues had a GAAP of 550 million reais? Have shareholders being summoned someone to cover that debt. Well, if we consider their plans like Jaguara São Simão in the portfolio. Does this still an open issue but if we take this a big line scenario? While there is leverage that our level would increase very much. Should we sell assets or improve operational performance? Another important point would be the compensation for these assets. You’re negotiating with Aneel and what expectations do you have for compensation of these assets. These are my questions?
Dr. Luiz Fernando Rolla: Thank you, Severine. Of course, these are wide array of things. However, we would have to rewind our presentation but let’s start to be brief and to address your issues. First about the operational efficiency for the improvement as Fabiano mentioned as a function of concession contracts renewals, we must have a plan now to meet the target that other -- this new concession agreement over the next five years. This involves some economic financial issues. We have approached two things, both leverage. And there is no expenses, improvement of the performance. In this case, this is very relevant indeed because these two things will enable us to meet comfortably to target set by Aneel. We also have several other initiatives. We are adding new initiatives and in the process of defining together with our board of directors. They haven’t reached final approval of the new measures but it should happen by December as they approve the budget for 2016. We must have some additional information to give you by them. We have many initiatives being taken towards reducing controllable expenses. We cannot open up at this point. We cannot disclose what initiatives or deals, but I think negotiations with our Board and with as I said, should be cleared by the end of the year. There is one point that’s already clear that it is -- that we should seek the focus on those sectors that represent higher added value to Cemig. There is a guideline for our works to work with developing, stronger focus on those segments that demand higher added value. And yeah, an improvement of performance of each employee of Cemig to reflect our improving performance and reducing the need for self constructing or outsourcing services. As for reduction of leverage, as for Cemig D, we would also include the theme of compensations there. A substantial reduction of leverage in both companies, D & GT, we must consider these reductions to be happening. We are still negotiating with the ministry and are now -- so as to set the criteria for truck loading those compensations. We trust these areas will be relevant and will help us reduce our leverage. In addition, we are reducing our debt by payments to the maturity dates. With regard to compensation, Severine asked it earlier. Two things should be made clear to compensations are involved. More involving the plans that we have to return. So that’s the focus on the auction of the 25. And this will be -- also benefit our documents, will be given to Aneel for making the accounts. As for the plans under litigations, a little premature. We talked about compensation that if and when this comes to happens within the timeframe scenario that Severine mentioned then we will have a better view. Also, other conditions set by Aneel, as for the existing transmission system, this amounts to 7.1 billion reais. This is well ahead, 1.2 billion reais and the criteria for compensation is still to be defined and we believe that soon this will be solved by the ministry. As for equity demand relative to stockholding, Belo Monte does not require so much investment and then it will go operational in February next year. So it will start generating revenues, which we will substantially reduce the need for equity on the part of venturers. It’s good to remember that the volume of funds from BNDES is very relevant within this context and this reduces even further the need for equity in Belo Monte. As for Renova, the agreements that we are setting with Cemig is preferably aimed at enabling Renova to go on developing their wind power potential. 2,500 megawatts are already being contracted and the investments will be conducted in a way such as we have negotiated with Finep. Another part that we now have with financial capacity is to shoulder any possible investments that might be required by Renova. I believe we address all your questions, Severine. As for sale of assets, we have not transferred that, no. Nothing of concrete, of course any good proposals we will carefully look at for sure. As for asset selling where we did it through Lights and stockholding at Renova. With Light, we helped reduce indebtedness. But in a general way, assets that we operate are relevant and they contribute to our results as we can see in our presentations. I believe we responded everything. You made the question about selling of assets because there was news disclosed recently involving Light. But I’m satisfied and thank you.
Operator: Our next question comes from Kaique Vasconcellos from Citigroup.
Kaique Vasconcellos: Good morning. Thank you. Two questions. First, about rolling of the debt and difficulty associated to concession of distribution. What can we expect in terms of the debt rolling into the next years? And the second question, you will be part of the auction in the coming 25, what will be your position in this process?
Dr. Fabiano Maia Pereira: Thank you, Kaique for your questions. Dr. Fabiano is answering. With regards to the distributors, we maintain continuous contact and talks with the banks. We are doing that in advance so that we can roll on the debt into the next few years and if possible this year so that we could enter 2016, we’d have our debt rolled up. With regards to the financing of our stockownership, we have the auction. We are still talking. We haven’t reached the final model precisely, how it will look like. We will have further conversations and by the end of this week, we should have wrapped it up.
Kaique Vasconcellos: Yes. Thank you.
Operator: Our next question comes from Mr. Paulo Ferreira, Bradesco.
Paulo Ferreira: Good morning and thank you. I have a quick question about leverage. Cemig D has been notified about Redentor. My doubt is that this should have an impact on 2016, on the leverage Cemig. My question is how do you assess the amount of losses of loss related to that? And do you resort to an independent assessment agency or how do you make this account? Thank you.
Dr. Luiz Fernando Rolla: Thank you, Paulo for the question. The agreement we have with Parati and SAAG Parati as the Redentor fund. It goes through the payment of dividends of CDI plus 0.9%. That’s what we aim at delivering and the value of the period is what has been mentioned already as we constituted the fund, 1 billion reais. We are now negotiating with new investors on these investments. Would you add anything, Fabiano?
Dr. Fabiano Maia Pereira: Just to say that the question is relative to our criteria for provisions for loss, we are very conservative in these calculations. It’s important to say that this account uses our cash flow and the fair amount and we’ve compared that to the face value of CDI plus 0.09% and this is same as others. This is a very conservative approach and that’s how we will proceed to compound any provision for losses for next few year and we expect to have negotiations that we will resolve these issues. Just to add that we’ve been talking with some investors and in principal, the outlook is pretty much favorable in terms of reaching a solution, even much before maturity deadline. So, we have good news about the next year and that’s what I expect. And this is a fact indeed that must be considered. Our expectation is that with negotiations underway, we will have no impact in the terms of the need for new cash injections by Cemig, which would imply in buying shares, buying stock which is not our objective. But as for the payments of dividends relative to Light, our expectations of selling assets of Renova by Light, this will substantially improve the indebtedness of Light and that we will be in a position of paying under required dividends with a very good level of performance in 2016 until much they have put.
Paulo Ferreira: Okay. Thank you for your answers.
Operator: [Operator Instructions] Vinicius Tsubone is coming from UBS, would like to make a question.
Vinicius Tsubone: Hi. Almost, good afternoon to all of you. Three questions, very straightforward. First, about Jaguara and São Simão. You said that São Simão will be developed on ’15 of September. I would like to know the figures about EBITDA and proceed results in general for the quarter and these two plants? Many questions were made about levers, but I would like also to know whether the distribution at Cemig kept our expansion is part of the plans given the level of indebtedness of the company and third about the auction for the bidders of financing model designed by the end of this year. But are we going to participate in any consortium like Santo Antônio, do you negotiate any stockholding, stockownership over time and Cemig and a consortia, are you planning to participate in Renova consortiums?
Dr. Leonardo George de Magalhaes: Thank you for your questions. Let’s try to respond or try to address each point exactly. Would you, please?
Dr. Fabiano Maia Pereira: Yes. With regard to the accounting of São Simão, as we are still seeing this uncertainty about the injections at CCEE, that’s what Leonardo said. We were most concerned on São Simão. And I have no means to show you the accounts of São Simão. We made provisions in terms of avoiding any of that surprises and there is no specific number for São Simão is part of our wider figures. As for the auctions, there is this partnership made very clear that there are several lapse. And we instead of bidding at the auction, has not disclosed the participants and it’s a matter of strategy also. We should not disclose all the strategy for participation at the auction with the things to happen as expected next week. The next question about distribution. The GAAP requiring more injections, capital injections by Cemig D, we have conducted work in the terms of fitting Cemig D to importance into this new concession agreement. And for me it’s a little premature to advance our strategy because this is going to the brought to the Board of the company. It would not be prudent to disclose this in advance. Sorry.
Operator: Thank you, Vinicius. Our next question comes from Mr. [Marcello Savio] [ph]. I have a question about distributions. In this quarter, that was higher than the second quarter despite this strong drop in consumption. I would like to understand this and also I would like to understand whether we should have and of course the first quarter similar result as the third or I should expect better results?
Dr. Luiz Fernando Rolla: I was assessing a little while about that, about Cemig being the fundamental point was the work we started since the beginning of this year. The results are already showing to that effect. You say that the difference in EBITDA from the second or third quarter. It’s hard to hear you. Could you please repeat? If I look here the second quarter, 173 and how 265, use this improvement associated to -- cut in expenses or is it not recurrent? The CVA is not recurrent but the value I can convey to you later on. As far the district board, theoretically, it’s CVA or they will force every to take it on a recurrent basis, That’s the aim of my question.
Dr. Luiz Fernando Rolla: Marcelo, I apologize. But I would have to go deeper into this result as you have informed and we have to inform you later on. Also for the generation our fourth quarter, we’d expect something better or like the third. While many things cannot be just kept for the fourth quarter, we’ll have adjustments too in the fourth quarter and we still don’t know the impact of GSF and the exchange rate impact because we buy energy from Itaipu in dollars. We can’t, at this point, predict the results of the fourth quarter. We still have to wait and see disclosure and of course, allow with the usual competence, we’ll do that. Yeah, I should remind you that fourth quarter, we won’t have the São Simão revenues. It’s the quarter regime. And there is also the entire issue that involves the liquidation of CCEE. We will see how it extends and injunctions how they will end up, so that we can see that idea of the performance and the results of first quarter. Liquidation of CCEE will be very important and their definition. And also the approval of the provisional measure, no doubt, we shouldn’t forget that important detail. 688, Provisional Measure 688 is about to be accrued by our President or the President of Brazil in the upcoming weeks. We cannot foresee what will happen in the fourth quarter but our guidance should be met, as we’ve had, within the interval that we have announced in May. One point within that interval, as Fabiano said, we will have to wait and see how it develops. Other developments and new things, the level of uncertainty is unfortunately still high. And we would risk to incur and some lack of precision, if we try to guess figures for you. So, thank you.
Operator: Our next question comes from Mr. Pedro Manfredini from Itaú BBA.
Pedro Manfredini: Three questions. I’m hearing some echo in your return of questions. It’s hard to hear at point. But my three questions are about costs. I’d like to have some details on what you have been doing and what should be done in 2016, as part of your cost reduction programs, especially in distribution next year? My second question, going for generation. We see prospects for growth and as growth -- and this auction for 2000 -- for November 25. You mentioned Alliant Energy and partnership with Valley, here we see that highly leveraged. Is there is vehicle of growth and generation, Cemig or will it be done Aliança, given this scenario. And the last question. We have seen questions about your vision for prices next year. Spot price is coming down. I would like to have an idea, we have a very -- a lot of information on the back the rear mirror but I would like to see what are you expecting precisely for 2016 onwards? Of course, these issues are extremely relevant but unfortunately they involve a higher degree of uncertainty. Two, what we can advance is that initiatives for cost reduction as implemented from the beginning of this year?
Dr. Luiz Fernando Rolla: We of course we focused on the reduction of expenses that could be more immediately cut down, more focused on outsourced services, materials, process and operational improvements, benefits from investments made in the past as for automation that improves good deal, the performance of our system. We just look at our quality -- our indicators. All these initiatives have been accounted for in the first semester or first quarter. In addition, we have several other initiatives who are diminishing today. They are to be approved by our board and will and shall be implemented their very effective measure. We will learn of them as soon as we have our approval from the board. And these initiatives we’ll very much improve cash flow in our distributor. Several initiatives will be announced very shortly. As far generation, the context of our pricing of energy has been pretty volatile given the uncertainties we have talked about. The sequence of injunction and private associated to GSF have brought a lot of oscillation to the power price. At times, you’ll reach reasonable prices. The government itself is incorporating as part of its vision and uncertainties for upcoming project, prices for 25, the basic prices are already out there at a very interesting level. Some other points have been considered but this gives you an idea of future price if you take as a reference on these prices. This is what the market we will be applying in non-regulated contracts in the near future. So we depend a lot on the rainfall of December months. So that you can have an idea, better idea of stock prices in 2016. Given any precisions in our metallurgical forecast, we have not a very clear vision of our domain for using thermal plants and other costs in operations. This has a very relevant impact on the prices that the market will be applying but if we take as a reference, the prices in the 25 November auction then it wouldn’t be too far from that. Would you like to add anything, any contribution Fabiano?
Dr. Fabiano Maia Pereira: Well, the crucial point here is that if we look at the spot prices, that depends a lot on the rainfall. And we’re just beginning the rainy season. If we look at other aspects, volatility is much lesser than that which is evolved into our spots prices. Just to add to my question, as for the vehicle of growth in generation, should it be expected to be Cemig D or via to have Aliança Energia. Well, specifically and those option, we will do it via Cemig GT but Aliança is the vehicle for growth and the generation sector according to our proposal. It will seek growth drawn what’s been the right from joint participating of Aliança and Cemig D. As you said, the leverage is very low in that case and it opens up lot of room for growth in its portfolio of possibilities they have already identified a few possibilities and as they start happening we will disclose it together with Aliança.
Pedro Manfredini: Perfect. Thank you.
Dr. Luiz Fernando Rolla: Thank you, Pedro.
Operator: Our next question comes from Mr. Vinicius Canheu from Crédit Suisse.
Vinicius Canheu: One more questions, I would like to know if you could say anything in advance about impact that Cemig D could have as a result of the Mariana disaster, some of the plants in generation might have impact, could you comment on that?
Dr. Luiz Fernando Rolla: This issue is still being assessed. This disaster in Mariana recently is a major, of course, major impact. We cannot mitigate it right now due to its dimension. We are directly negotiating where the OMS and CCA, possible impacts may derive, if they have to stop those plants. But so us to a sense, the real impact on our processes is still pretty much, its too early to say, most of the impact is on Aliança, probably not precisely Cemig GT, because these plants are being run by Aliança already.
Vinicius Canheu: Okay. Thank you.
Operator: We now close our Q&A session. I would like to hand it over the floor to Luiz Fernando Rolla for his final comments. Dr. Luiz Fernando, please?
Dr. Luiz Fernando Rolla: Once again on behalf of our CEO, Mauro Borges, we’d like to thank you for attending. [Indiscernible] to us is to treat all the issues pertaining to Cemig D as all -- as full -- with full transparency. We expect we have answered just two outside exception, exception made to [indiscernible] to provide him the information, which we will irritate the trust Cemig D has on its strategy to keep it focus on optimization of its processes. So us to provide a simply to shareholders positive results that can make the expectations of our wider community and fully between the targets sets by our regulatory bodies. Cemig D proceeds, post-forward our plan for growth. As we described in our presentation when we trust the results will be highly positive. Any final words?
Dr. Fabiano Maia Pereira: No. Thank you.
Dr. Luiz Fernando Rolla: We will just wrap it up. So that’s it. There is nothing else to say. So thank you your attendance and have a nice afternoon.
Operator: So video webcast results of Cemig D for the third quarter 2015 is now closed. We thank you all for your participation and have a nice afternoon.